Unknown Executive: Ladies and gentlemen, thank you for joining us today despite short notice. We would like to start the press conference for the announcement of changes to Sony Group's management structures -- structure. And today, I will be the master of ceremony.
 My name is [ Ishii ], from corporate communication department. Nice to meet you.
 Now I would like to introduce to you who are on the stage: Mr. Kenichiro Yoshida, currently director, representative corporative executive officer, Chairman, President and Chief Executive Officer, who will assume director, representative corporate executive officer, Chairman and CEO as of April 1 this year. And Mr. Hiroki Totoki, director, representative corporate executive officer, Executive Deputy President and Chief Financial Officer, will become director, representative corporate executive officer, President and Chief Operating Officer and Chief Financial Officer.
 The speeches will be made in the order of Mr. Yoshida and then Mr. Totoki, and we will take questions afterwards. After the Q&A session, we will have about 5 minutes for photo session. Overall we plan to have about 40 minutes for this first conference and then followed by the briefing on the Q3 results.
 Mr. Yoshida, please take the podium. 
Kenichiro Yoshida: Thank you all for coming today despite the short notice.
 I would like to explain the executive changes announced today. Effective on April 1, Hiroki Totoki, currently Executive Deputy President and CFO, will be appointed President, COO and CFO. And I will become Chairman and CEO. These changes are intended to strengthen of group management structure. From April onwards, we will describe for the further evolution and growth of Sony under this new management structure.
 First, I'd like to touch on the background of these management changes. Sony is engaged in the diverse businesses based on our purpose to fill the world with emotion through the power of creativity and technology. Furthermore, in April 2021, we transitioned our organization to a new group architecture and established Sony Group Corporation, which is aligned with all our businesses in an equidistant manner.
 Our approach to business management is one where the vectors of each business are connected by the social significance of creating and delivering of Kando but also emphasizes the autonomy of individual businesses, organizations and employees. On the other hand, in order to enhance the group's overall value, so the long-term perspectives, it's vital -- thoroughly implement capital allocation, collaboration between businesses and business portfolio management. And to do this, I concluded that we should strengthen our management structure; and proposed to the nominating committee and the Board of Directors to promote Mr. Totoki, who has deep understanding of each business operation, to President and appoint him as COO. This proposal was approved today. He will also continue as CFO. This is because the CFO also needs to have a deep understanding of the business, and we believe that this role is closely related to the duties of the COO.
 For approximately 5 years since I became CEO in April 2018, he has been a driving force in the implementation of growth strategy for the group, particularly from a -- financial perspectives in his role as CFO. His greatest contribution has been in supporting our investment for growth, primarily in 2 major areas. One is content IP. While we have made acquisitions in the DTC domain such as anime distribution company Crunchyroll, we have focused particularly on strengthening our content IP. This started from the acquisition of EMI music publication in May 2018 just after I was appointed CEO. He led this acquisition, including the negotiation of terms. The other is semiconductors. [ I regard ] CMOS image sensors as creation semiconductors that generate Kando. He supported our investment in this area while managing risks through in-depth discussions with the business side regarding demand, the competitive environment and the development road maps.
 His other contributions included setting the JPY 2 trillion framework for strategic investment in the current mid-range plan. This investment framework established by him has led to an improvement in the growth mindset of the entire group. Furthermore, there is also the repurchase of our shares which we have positioned as a part of our strategic investment. While constantly taking investment opportunities and the financial conditions into account, he had supported the repurchase of approximately JPY 500 billion of Sony shares since fiscal 2018. I have worked with Mr. Totoki since 2005, when I became President of Sony. I have also learned quite a lot from him with his strategic perspectives encompassing the broader external environment. Furthermore, he has the experience of planning and founding Sony Bank himself and operating it as a representative director. He has accumulated a wide range of experience, including directly leading a large organization as the Head of Sony Mobile for more than 3 years starting in 2014. Going forward, I'm confident that he will make an even greater contribution to enhancing our corporate values as President, COO and CFO.
 As part of efforts -- strengthen our management structure, we have all decided to appoint Toshimoto Mitomo as Executive Deputy President and CSO. Mr. Mitomo possesses extensive experience in the intellectual property field, technological expertise and strategic perspectives. Most recently, he has overseen areas, including new business development and corporate venture capital; and is leading discussions across the group in areas such as virtual production and metaverse.
 At Sony, we operate our business in the Kando value chain of creating and delivering Kando, and he helps an important role in expanding and deepening the scope of this business. I look forward to Mr. Mitomo, in collaboration with Hiroaki Kitano who was appointed CTO last year, further contributing to Sony's evolution as a creative entertainment company with a solid foundation of technologies.
 Sony's purpose is to fill world with emotion, and its corporate direction of getting closer to people will remain unchanged. Our approximately 110,000 employees who share this purpose are a driving force of the Sony Group's diverse businesses. The management team will work together as one along with our employees to create values from long-term perspectives based on our purpose.
 That is all from me. Thank you. 
Unknown Executive: Next, I would like to invite Mr. Totoki. 
Hiroki Totoki: I am Hiroki Totoki; and will be assuming the role of President, COO and CFO of Sony Group. Thank you for your attendance.
 I'm grateful to Mr. Yoshida and the Board of Directors for their trust in recommending and appointing me; and at the same time, feel a great sense of responsibility.
 To introduce myself: I joined Sony in 1987. And after working in finance, including an overseas assignment in London, I left Sony in 2002 to take on the role of Representative Director of Sony Bank, a company that I led in establishing. While it was on a small scale, the experience of launching and managing a new business with a spirit of start-up formed the foundations of my current value perspectives in management. Then in 2005, I moved to our ISP business So-net, where I took on a wide range of roles, including CFO, under Mr. Yoshida's leadership. In December 2013, I returned to Sony. And following roles, including CEO of Sony Mobile and Corporate Executive Officer and CSO of Sony, I was appointed to my current position of CFO in 2018 when Mr. Yoshida became CEO of Sony. Since then, as a member of the management team led by Mr. Yoshida, I have dedicated myself to enhancing the corporate value of the Sony Group.
 This fiscal year is the second year of our current fourth mid-range plan. Thanks to the efforts of management at each of our businesses and from each and every employee, we are forecasting strong results this fiscal year, including record sales and more than JPY 1 trillion in operating income. On the other hand, looking at our current business environment, there is increasing instability due to factors such as the uncertain global economic outlook, geopolitical risks, energy issues and the natural environment.
 In addition, I feel an acute sense of urgency that there is a fine line between whether we can channel the rapid evolution of technology with AI, as a leading example, into further business growth; or conversely whether our business will be disrupted by it. As business environment and technology continues to undergo great change, I believe the key to increasing the resilience of the overall Sony Group is evolving our diversity. Diversity in our business and talent is part of Sony's DNA, but we must further evolve this diversity. Our goal is to bring together people with various attributes, experience and expertise from inside and outside the company to co-create the future by unleashing their ideas and creativity and to continue to grow both as individuals and as a company.
 By leveraging the Sony Group's diversity and continuing to evolve and grow, I would like to create a positive spiral that begins with Sony being chosen by customers, which then energize our employees, enables us to attract more new talent, increases our corporate value and ultimately enable us to give back to society. Working together with Mr. Yoshida, the Sony Group's management team and our employees around the world, I intend to continue to develop [ through ] my efforts to the further evolution and growth of our business based upon our purpose. I look forward to your continued support. 
Unknown Executive: From now, we would like to take questions. And time for a -- questions and answer is about 25 minutes. And due to time constraint, we will not separate the sessions. We would like to take questions from the investors and analysts. [Operator Instructions] And to those who have questions in this venue, please raise your hands. [Operator Instructions] And in this venue, our staff will bring you the microphone. [Operator Instructions] So please raise your hand, should you have a question. Then the far right, the second row from the front, on the right. 
Shimai Kenta: Shimai from NHK. I'll have a question to Mr. Totoki, the new CEO (sic) [ COO ]. In your soft introduction, you were talking about the Sony Bank and talked about the venture spirit. And so we'll be continuing your position as the CFO and you become a CEO this time. And as a CFO, you have -- and so in your position as the president, what business would you like to develop? And what is your wish for your new position? 
Hiroki Totoki: Thank you for the question. And so the management and also the group business will be continued. And with the current mid-range plan, we have some plans for the actions. We will thoroughly put those actions into place, and basically we would like to strengthen all aspects of our business. That's my basic thinking. 
Unknown Executive: Next question, please, person in the middle row, the third row from the front, on the right side from this side. 
Unknown Attendee: [ Honda ]. I'm a freelance journalist. I have 2 questions and to Mr. Yoshida, as Mr. Yoshida has presented -- and it is great to have the support by a person who is quite knowledgeable about the finance. And at the same times, I recognize that the CFO has certain unique authority. And do you think that there are any conflicts or problems for -- a CEO is also a CFO? And it appears to me that this is rather sudden that this announcement was made. So why now? That's my second question. 
Kenichiro Yoshida: Let me then answer to your question. About the first question, whether the double hatting of a CEO and CFO will be a problem, well, this is COO, Mr. Totoki's position. He is going to be a group COO, not the CEO, a COO. And so it will be a little bit different from giving the direct construction to the frontline. So this is the COO position who understands the operation very well. To double hat as a CFO, when we think about the group structure of our company, I think this is reasonable and efficient. And in this group, in each part of the group, we are going to confirm the standing of each parts of the business to lead the way for further growth. I think it makes sense. And the second question was why now. And Sony is now practicing this mid-range business plan or the plan, and we are right in the middle of the fourth mid-range plan. And the -- we have business-planning people, but the actual management itself is being done with a long-term perspective. At the moment when we look at the external landscape, the changes are accelerating. As Mr. Totoki also mentioned, the technology is changing rapidly. And also there's heightened geopolitical risks, and so as I mentioned, capital allocation and also the business-to-business collaboration and also the portfolio management of the businesses need to be strengthened. That's all. 
Unknown Executive: And I would like to move on to the next question and the second row from the front on this side. 
Unknown Attendee: My name is [ Nakagaki ] from TV TOKYO. I have a question to ask of Yoshida-san. And these management changes, the -- will lead to a 2 top, the structures, Yoshida-san and Totoki-san. And both of you will [ form up ] financial sectors, financial areas, so what's going to be the impact? 
Kenichiro Yoshida: And the 2-top structures of the management. And the purpose of these management changes is just to strengthen our management structure and architecture, so -- and we assign a new COO. And the capital allocation and business portfolio management and the business structure management is to be [ the operated ], for sure. That's the purpose. And as a CFO -- experience. That's quite right. And I myself has been serving for So-net, the Internet provider, serving as the president for 9 years. So I think that the variety of experience is quite important for us to serve for the company. And he has ever worked for the start of the Sony Bank and he has been serving as the President of Sony Mobile as well, so I do believe that he can take [ the leverage ] of his experience. 
Unknown Executive: Now next question, the person in the middle, second row from the -- line from the top, from the front. 
Unknown Attendee: The presidents, each president, had a slogan, a mission. Hirai-san is focusing up on manufacturing and Kando. Yoshida-san is to become closer to people. Totoki-san, what is the slogan that you have in mind? 
Hiroki Totoki: Thank you for your question. I am focusing upon growth, business and company. If growth is stagnant in various ways, one tends to fall into negative spiral. Therefore, I am focusing upon growth and realized growth. As I said in my speech, we are to be chosen by customers and energize people; and positive spiral is to be created. So in short, it is growth. 
Unknown Executive: Next question, please; the person in the middle row second from the front, to the left side from this side. 
Unknown Attendee: [ Furukawa ] from Nikkei. And I would like to ask a question about the necessity of COO, this as in the comment by [ Mr. Sumi ] about the necessity of the COO. There was a discussion in the Board. And in the past, in the -- Mr. Idei's era, there was the CEO and the COO as separate. And there was the split between the CEO and COO under Mr. Howard Spring (sic) [ Howard Stringer ]. And whether they functioned or not is another question, but so in order to maintain the forces, the -- I think it may be a difficult question to answer, but when you have the CEO and COO, there are some views that it may be better to be separated in terms of the functions. What do you think? 
Kenichiro Yoshida: Well, our -- Sony's management -- well, myself is not so much the 1-top management. I am part of that management team. And that's what we have been demonstrating as a management of a business. So with that, as I mentioned, external landscape, there are major changes happening, the geopolitical risks and also acceleration of technology. And then also these positions are independent position. While valuing the independence, we together think about the business-to-business collaboration and also the business portfolio improvement, so we all -- the management team needs the deep understanding of the external environment. Of course, Mr. Totoki has a deep understanding of the external landscape. And with this titles of COO and CFO and the -- he can bring it to the higher level of the understanding and elevate it to the higher level, his understanding of the external landscape. 
Unknown Executive: Next question, please. And I would like to take questions in the middle row and the second from the front. 
Unknown Attendee: My name is [ Nishida ], freelance journalist. I have questions -- and the CEO and its positions. So in terms of the strengthening of the product portfolio is quite well understood, but would you please be a bit more specific what we want to do? So Yoshida-san's leadership and Totoki-san's leadership, what they will be; and how each of you would like to work for Sony Group. 
Kenichiro Yoshida: And probably Totoki-san will make another comment. And as for the details and -- that's subject to the discussions from now on, but as for business structures, we have 6 segments of businesses. And we have to maintain and let them grow, but as for the discipline of the corporate management, we should regularly check whether or not those portfolios and segments are optimum. That should be the role of the Board of Directors and management. That's my ideas. 
Hiroki Totoki: So I would like to make some additional comments for the questions. As for the business portfolio, should not be static. That should be dynamic. And the diversified business means the different harvesting cycles, so we need cyclical revisiting and reviews of those business portfolios so as there'll be update. And we need enormous power to do so, so as Yoshida-san said, the strengthening, the management structure, is quite plausible for us to carry on. And we have to raise the management capabilities, and I have to -- the -- play my role to do that. 
Unknown Executive: Next question. [Operator Instructions] Now the person third line -- third row from the front. 
Unknown Attendee: [ Nishigori ] from Nikkan Kogyo Shimbun. I have 2 questions to Totoki-san. Sony Group, what kind of company would you like to steer the company into, your vision? And I think this is a message for the employees as well. What is your vision for the company? And Mr. Totoki, personally your credo, something -- belief that you are -- you think is important. 
Hiroki Totoki: Thank you very much for your questions. What kind of company I would like to make Sony into: Yoshida-san and we have a defined purpose and expand the Kando value chain, and we have been sending that message internally and externally. We have to make this more concrete. Ideal way would be -- without being -- having to explain, everybody can have an image as to what we have to do. That is the ideal situation, so we are going to bring this into reality. As for my belief or credo, it's not something that big, but from before, the key of management is courage and patience. I like this saying. Many people are saying this. You -- as one is engaged in management of a company, identifying risks. And make a judgment, and you have to have the courage to make decisions. Also, at times, you may be faced with headwinds and also contradictions, but you have to persevere and should have patience. And I feel the need of patience. I am telling myself the importance of this always. 
Unknown Executive: Let's move on to the next question, so the person in the middle row, on the far right, please; and the front row, yes, please. 
Unknown Attendee: [ Sasaki ] from Toyo Keizai. And under the new management structure, Yoshida-san is going to be the [ CFO ]. And so Totoki-san, I believe you have exerted your position as a CFO as well. What are the concrete actions? And were there any other choices or options? 
Kenichiro Yoshida: Well -- so this change to Sony Group's management structure. First, we had a discussion with the nominating committee in July last year. And at that time, I -- and of course, there were a lot of discussions, but I then talked about Mr. Totoki's strengths. And biggest strength, I think, is the strong willingness for growth. And I think it is a very important and key attributes that is required of the management of the company. And the company growth, I think it's important for it to result in the growth of the employees as well. So that's my view. And I strongly stress that Mr. Totoki is suitable as a new leader of Sony Group. And that's what I've been repeating to the nominating committee as well as in the Board meetings as well, at several occasions. 
Unknown Executive: Let's go to next question, on this row and -- with white shirt. 
Unknown Attendee: My name is [ Sasaka ] of Nikkei Business. I have 2 questions, and you have the experience of CFO. [ What's ] positive effect on your future jobs? And how you can take the leverage of your experience as CFO. And as CEO, Mr. Yoshida, what you are going to do as an CEO. 
Kenichiro Yoshida: Thank you. And the first question is to be answered by Totoki-san -- and what I'm going to do as CEO, and there are so many things for me to do. Ultimately I have to take ultimate responsibilities of the Sony Group. And CFO experience -- how those experiences will serve positively to my jobs. 
Hiroki Totoki: And CFO -- and depending on the companies. And probably the roles might be different even though they may carry the same name. And CFO in the Sony Group has a wide range of roles and -- quite deeply involved in strategies and the management. And that's been true since Mr. Yoshida as CFO. And those experiences should be quite -- positively serve to be the president because we can have an overall view and we can read our financial [ figures ]. And we can take that -- take leverage of those ideas through interaction with investors and analysts. 
Unknown Executive: Let's move on to the next question. [Operator Instructions] If not, then once again back to this room, in the center in the front line. 
Unknown Attendee: [ Soma ] from Nikkei ESG. I have a question to Mr. Totoki. Mr. Yoshida, after he became President, creativity -- he has been saying that he has a purpose of fill the world with emotion through the power of creativity and technology. And he have been working upon this. Totoki-san, after you become President, what will be the priority areas that you would like to address? 
Hiroki Totoki: Thank you for your question. I myself -- as Yoshida-san clearly defined the purpose and disseminated this purpose to the group. As I mentioned earlier, we have to make sure that the purpose takes root in the group. And we have to make the purpose into something concrete. Purpose itself is the Kando value chain. And so it is made into something concrete, Kando value chain. We create Kando and deliver Kando. And that's where we are doing our business, so we have to make this even stronger and wider in the range as well. 
Unknown Executive: Now we are running out of time, so we would like to take one last question. So from JPMorgan Security, Mr. Ayada. 
Junya Ayada: My name is Ayada from JPMorgan. Now I have one question about this management change, Mr. Yoshida -- from -- or Mr. Totoki, each. About the group executive officers, what did you tell them? Or what are you planning to tell them? Or -- and also, to the employees, what are the -- your messages? From each persons, I would like to hear. 
Kenichiro Yoshida: Thank you for your question. Well, already the message has been issued. And today and as I mentioned in my speech, there is a change in the external environment. And also there are things that we need to tackle internally. The -- we -- I have already conveyed to our employees. In the same manner, I mentioned in the speech and -- also the purpose of the company and also we're going to get closer to people. That will not change. And together, we're going to attain further growth. That was my message. 
Hiroki Totoki: From myself too, basically I delivered the contents of the -- my speech with a little more meat to it, in a sense, to our employees and also to the key team members. Individually, I had opportunities to speak to them one by one. And so I asked them for their cooperation because I'll be assuming this new position. And we received a lot of feedback through the e-mail and messengers. I would like to take my time to read through all the messages. I'm looking forward to doing so. 
Unknown Executive: Thank you very much. It is time, so then this concludes the question-and-answer session. And next, there will be a photo session for the...
 [Break] 
Unknown Executive: Ladies and gentlemen, let us start Sony Group companies and the consolidated financial results announcement.
 My name is [ Siji ] from IR group of financial department. I'm happy to serve as emcee. And please -- I -- let me introduce those who are on the podium: Hiroki Totoki, Executive Deputy President and CFO; and Ms. Naomi Matsuoka, senior vice president in charge of corporate planning, control, support for financial business and the entertainment areas; Sadahiko Hayakawa, senior vice president in charge of finance and IR. Those three are on the podium.
 First, Totoki-san will have the floor to talk about Q3 FY 2022 consolidated financial results and then go down to the questions and answers. And as for the questions and answers, we will first entertain questions from investors and analysts then to the separate sessions for media. And in total, we are planning for 45 minutes. For the related documents, we have posted on the IR website. Please refer to that.
 So Totoki-san, you have the floor. 
Hiroki Totoki: Today, I will explain the following.
 Consolidated sales for the quarter increased 13%, compared to the same quarter of the previous fiscal year, to JPY 3.4129 trillion. And consolidated operating income decreased by JPY 36.4 billion to JPY 428.7 billion. This operating income result was close to the record high reached in the same quarter of the previous fiscal year which benefited from the recording of JPY 70.2 billion gain on the transfer of a business in the Pictures segment.
 Income before income taxes decreased by JPY 63 billion year-on-year to JPY 398.6 billion. And net income attributable to Sony Group Corporation stockholders decreased by JPY 19.4 billion to JPY 326.8 billion. The results of that quarter by segment are shown here.
 Next, I will explain the fiscal year consolidated results forecasts. The consolidated sales forecast is JPY 11.500 trillion, a decrease of JPY 100 billion from the previous forecast. We have upwardly revised our forecast for operating income by JPY 20 billion to JPY 1.180 trillion. On the other hand, the forecast for consolidated operating cash flow excluding the financial service segment has decreased by JPY 270 billion from the previous forecast, to JPY 550 billion, primarily reflecting a significant increase in working capital.
 Now I will explain our inventory situation, which is a primary cause of the increase in working capital. Inventories at the end of the current quarter were JPY 1.4645 trillion, an increase of JPY 48.1 billion from the end of the previous quarter. In the G&NS segment, the increase in inventories of PlayStation 5, for which production and sales expanded significantly during the quarter; and PlayStation VR2, which is scheduled to be released this month, are notable. The primary reason for the increase in working capital was our decision to raise the level of inventory in an effort to ensure that we can achieve our sales plan for the fourth quarter and to maximize the paper -- penetration of PS5 considering the continued risks related to the supply chain and logistics for PS5.
 In the ET&S segment, although inventory reduction progressed to a certain level from the end of the previous quarter, we recognize that it is still slightly higher than the appropriate level. And we plan to accelerate further reduction toward the end of the fiscal year. In the I&SS segment, we are continuing to manage strategic inventory, paying close attention to inventory quality and carefully balancing inventory risks while maximizing the use of existing capacity and optimizing the timing of capital investment. The forecast for each segment is as shown here.
 Now let's move on to an overview of each business. First is G&NS segment. FY '22 Q3 sales increased a significant 53% year-on-year to JPY 1.2465 trillion mainly due to the increased sales of hardware; and the impact of ForEx rates, foreign exchange rate. Operating income increased a significant JPY 23.4 billion year-on-year to JPY 116.2 billion mainly due to the impact of the increased sales of first-party software despite an increase in costs.
 The forecast for FY '22 sales is unchanged from the previous forecast. We have upwardly revised our operating income forecast to JPY 240 billion, an increase of JPY 15 billion from the previous forecast. Expenses associated with acquisition for the current fiscal year are expected to be approximately JPY 57 billion. 7.1 million units of PS5 hardware were sold during the quarter, and the cumulative number of units sold by the end of December exceeded 32 million. Based upon this result, we have set our sales forecast for the fiscal year at 90 million units. By optimizing our operations, we are exerting every effort to sell as many units as possible to meet the strong demand.
 Due to the penetration of PS5, the percentage of PS5 users in the number of monthly active users in December increased to about 30%. Engagement metrics for users who transitioned from PS4 to PS5, such as the PS Plus subscription rate, game play time and average spending amount, are significantly higher than those when the -- they played on PS4. And we will continue to focus on accelerating transition of PS4 users to PS5. In addition, nearly 30% of PS5's MAUs are users who never used PS4, so with the spread of PS5, the acquisition of new users is progressing. Although total game play time of all PlayStation users during the quarter was down 3% year-on-year, it was up 6% compared to the prior quarter. And it was up 14% in December compared to the prior month. We believe that user engagement is on a recovery trend due to the penetration of PS5 and the contribution of hit titles.
 In terms of software for PlayStations, the new title God of War Ragnarök recorded sales of more than 11 million copies in the first 10 weeks after its release on November 9, making -- marking it the fastest-selling first-party title ever. Looking ahead to next fiscal year, we have strong titles planned to be released for both first and third party, including Marvel's Spider-Man 2. The sales contribution of PC software is steadily increasing, thanks to the rollout of our popular IP to PCs such as Marvel's Spider-Man: Miles Morales which went on sale in November. As with Bungie, preorders are steadily increasing for the Destiny 2: Lightfall expansion which is scheduled to be released this month.
 On the 22nd of this month, PS VR2 will be released worldwide. By maximizing next-generation sensing functionality and the performance of PS5, we aim to provide a virtual reality experience like never before. In anticipation of the launch, we are preparing a lineup of more than 30 titles, including Horizon Call of the Mountain, the latest title in our IP; and Gran Turismo 7, which will be upgradable to PS VR2 for free. In this way, we are seeing steady results from the various measures we have taken in terms of both hardware and software. And we believe that we have created positive momentum to reaccelerate growth and a game business centered on the expansion of the penetration of PS5.
 Next is the Music segment. FY '22 Q3 sales increased by 23% year-on-year to JPY 367.7 billion (sic) [ JPY 363.7 billion ] mainly due to the impact of foreign exchange rate and the increase in streaming sales. Operating income was JPY 63 billion, an increase of JPY 7.8 billion year-on-year.
 The contribution to operating income from Visual Media and Platform accounted for approximately 10% of the operating income of the segment for the quarter. There is no change from the previous fiscal year forecast. Streaming sales in the quarter continued to grow steadily with year-on-year increase of 33% of the Recorded Music and 60% of the Music Publishing, 7% and 28%, respectively, on a U.S. dollar basis. In Recorded Music, following the first half of the fiscal year, during which we had many new albums, hits by artists such as Harry Styles and Beyoncé, we continue to generate hits and with an average of 38 songs in Spotify's top 100 weekly global music rankings in the [ coming quarters ]. And among them, the singer-songwriter SZA's album SOS, released on December 9, became a big hit, remaining the #1 in the Billboard 200 for the consecutive 7 weeks after the release. In Music Publishing, our affiliated songwriters participated in all of the top 5 most streamed albums on Spotify in calendar year 2022. And we believe this further solidified Sony's positions in -- the industry leader.
 Next is the Pictures segment. FY '23 (sic) [ FY '22 ] Q3 sales were JPY 331.5 billion, a significant decrease of 28% compared to the same quarter of the previous fiscal year which benefited from the blockbuster release of Spider-Man: No Way Home and the U.S. television [ skit ] Seinfeld. Operating income fell by significant JPY 123.9 billion to JPY 25.4 billion primarily due to the recording of the gain from a transition of a G&NS games business in the same quarter of the previous fiscal year and the impact of the decreased in -- sales. And FY '22 forecasts in sales are JPY 1.400 trillion, a decrease of [ JPY 40 billion ] from the previous year. There is no change from the previous forecast in operating income.
 And due to the fewer films being released, a result mainly from the production delays brought by the COVID-19 situations -- and box office revenue in the U.S. calendar year was about 60% of the calendar year 2019. Next fiscal year, Sony plans to release highly appealing films, including the sequel of the Academy-winning animation film of the Spider-Man [ cluster ], Spider-Verse; and a new film of Sony Pictures Universe of Marvel Characters following [ ones like ] Venom. [ And we also ] [indiscernible] exceeded 10 million as the top of the -- by the end of the next few years. And we have -- that's evidenced by the release of One Piece Film Red. And following on from Uncharted, which recorded box office revenue of more than USD 400 million worldwide, with more than 10 projects under the [indiscernible] games IP to video, including Gran Turismo and God of War, the live-action television drama adoption of The Last of Us, which began airing, HBO, HBO Max and [ Max ], January 15, became a big hit in the first episode since its first release, with 22 million viewers. Due to this, the game of the last of -- or [ the last part of -- released ] in 2020. And Amazon sales ranking for PS4 software in the U.S., which has the positive impact on the game, [ slowed ]. Moreover, in March, we plan to release the first PC game software by using this IP. In this way, we plan to further increase and strengthen our value of highly appealing IP through a multifaceted exploitation of the IP into the collaboration [indiscernible].
 Next is the Entertainment, Technology & Services segment. FY '22 Q3 sales increased 10% year-on-year to JPY 752.8 billion due to foreign exchange rates and increased sales in -- of digital cameras. Operating income increased JPY 1.1 billion year-on-year to JPY 81.1 billion primarily due to the benefit of the increased sales of digital cameras despite the impact of decreased sales of televisions. And FY '22 forecast for the sales of JPY 2.480 trillion, a decrease of JPY 30 billion from the previous forecast. There is no change from the previous forecast for operating income. By responding swiftly to market changes and minimizing the impact of the economic slowdown and deterioration of the market environment in certain categories such as TVs, we secured a profit for the entire segment during the quarter that was the same level as of the same quarter of the previous year.
 Regarding interchangeable lens cameras. Although the pent-up demand due to product shortage in the previous fiscal year is abating, there has been no noticeable negative impact from the economic slowdown, so far. And sales are relatively stable. We have been able to control the supply chain disruption caused by the resurgence of COVID-19 in China since the end of last year so that it does not affect sales. We are closely monitoring the situation after the Chinese New Year and are taking necessary action. We anticipate that the business environment will become even more severe over the next fiscal year. Therefore, we will revise our sales plan for the fourth quarter even more conservatively. And we'll proceed with business operations with the top priorities being prevention of any negative impact from being carried over into the next fiscal year and acceleration of our efforts to further strengthen our business structure.
 Next is I&SS segment. FY '22 Q3 sales increased a significant 28% year-on-year to JPY 417.2 billion mainly due to the impact of foreign exchange rates and increase in sales of image sensors for mobile products. Operating income was JPY 84.9 billion, a significant increase of JPY 20.2 billion year-on-year mainly due to a positive impact of foreign exchange rates despite an increase in costs. Both sales and operating income for the current quarter were recorded highs for this segment. The FY '22 sales forecast has been decreased JPY 20 billion from the previous forecast JPY 1.420 trillion. There's no change from the previous forecast for the operating income.
 The smartphone market continues to be sluggish, centered to mid-range and low-end products in China. Recently, this trend has become partially conspicuous for high-end products as well, but that is highly within the expectations of our previous forecast. At present, we assume that the smartphone market will recover moderately, starting from the second half of this fiscal year ending in March 31, 2024. And we are proceeding with careful verification and assessment in preparation for formulating a business plan for the next fiscal year. On the other hand, sales of our large-format high-definition sensors for flagship models have grown significantly from the previous fiscal year, leading to significant growth in sales for the segment.
 We believe that growth in the trend towards larger-size, higher-image-quality, higher-performance mobile sensors is a major achievement this quarter. Taking into -- this into account, we will continue to consider medium- to long-term investments. And we increased production capacity to further expand our image sensor market share. In the automotive sensor business, we expect to double sales in the current fiscal year compared to the previous fiscal year. And we expect the sales to continue to grow in a high level of the next fiscal year as well.
 Last is the financial service segment. FY '22 Q3 financial service revenue decreased a significant 24% year-on-year to JPY 359 billion mainly due to deterioration in the net gains and losses on investments in the separate accounts at Sony Life Insurance. Operating income increased a significant JPY 19.1 billion year-on-year to JPY 54.3 billion primarily due to a reveal -- reversal of policy reserves at Sony Life resulting from the rise in interest rates during the quarter. Sony Life's new policy amount of in force increased 57% year-on-year due to growth in the corporate business and strong sales mainly of the new individual variable annuity [ Sovani ]. There is no change in the previous forecast.
 Next fiscal year will be the fiscal year of the fourth mid-term range -- mid-range plan, and it will be an important fiscal year where we established a next mid-range plan. I believe that the most important theme in the next mid-range plan is Sony Group's strategy for the further growth beyond the current tough economic cycle. And our next fiscal year, we anticipate that we will need to operate our business in the face of headwinds. While each business will focus on responding quickly and decisively to the changes it faces, we also will steadily lay the foundation for the future. We plan to further evolve the diversity of our businesses and human resources, which are our strengths; enhance resilience of our business portfolio; and take on the challenges of the creating new value in growth markets. 
 That concludes my remarks. 
Unknown Executive: [indiscernible] Mr. Totoki.
 Now we'll have to move on to Q&A session. As we explained at the outset, first, we'll be having a Q&A session from investors and analysts. And from about a quarter after 5, we'll be entertaining questions from the media. [Operator Instructions] Those of you who have question in the room, please raise your hand and then wait until the microphone is brought to you. [Operator Instructions] 
Unknown Executive: Now online participant, BofA Securities, Hirakawa-san. 
Mikio Hirakawa: Hirakawa from BofA Securities. About PS5, I have a question, PS5, 7.1 million units. Sales has increased significantly. And the market consensus is about 7.5 million -- 7.1 million. If you can produce more, you could have sold more. Or the demand was about this level. In 3Q, you have -- exceeding PS4, so what is the current situation of PS5? 
Unknown Executive: Thank you for your question. I would like to respond to your question. Sales unit -- of 7.1 million units is not a bad figure at all. However, the production and distribution problem continued, so the products are not delivered to the customers sufficiently. Distribution channel, at the shopfront, the products are not delivered yet sufficiently, so we need to streamline the operation and so that the units will be delivered to the customers as promptly as possible. Therefore, the momentum of demand, we are not concerned. Rather, we have to make sure that we can solidify the operation and we can deliver as many units as possible as quickly as possible. 
Unknown Executive: And once again from online, Morgan Stanley MFU (sic) [ MUFJ ], Ono-san. 
Masahiro Ono: Congratulations, Totoki-san, for assuming a new position. And I have a question concerning games. And 3 months ago -- and you talked about some of the focus. And games KPI is now gaining momentum, I think, and especially MAU. And the 112 million and -- that's quite positive, [ the wave ]. And PlayStation is recovering in the quarter, but as for the user compositions, you talk about transition from PS4 to PS5, so how do you focused the transition status on -- from PS4 to PS5? Will it -- gradually, the increase? Or depending on the new titles and to boost the demand for PS5. 
Unknown Executive: And as for PS5 and the PS Plus. The paid member increase is -- might be one of the main factors. And as for the next quarter, that's almost as planned. And as for PS5, the sales increase and promotional effect should lead to the increase of the sales. And there are some players who are being away from the gaming, and that should be the reasons for us to see this current level of the user. And as for PS5, there are -- some reopening purchases are rather high and that should have a time lag to see the positive effect on to the figures. So that might be because of the time lag for that membership and reflection on to the sales and revenue. And we would like to continue to monitor the business, and we are going to solidify the software deliveries and so as to enhance the engagement with users for gaming. 
Unknown Executive: Then I would like to move on to the next question. Please raise your hand if you have a question. So then from the venue, the person in the middle of this row. 
Satoshi Sakae: Sakae from Daiwa Securities. I have a question about the finance area and financial services area. So the third quarter result of the new contracts, was it as expected? And also, the interest and transition, how will it affect the performance? And also, the MCEV, what was the result? And in addition, for the next term, there will be a plan for the change in accounting system, and at this moment, what is your view on how this may affect the performance? 
Unknown Executive: Now I would like to invite Ms. Matsuoka to answer about the finance services related questions. 
Naomi Matsuoka: Thank you very much for the questions. So about the new contract value, the third quarter situation is your question. And thankfully, as I -- as mentioned in Mr. Totoki's speech, the [ Sovani ] is performing quite well. And new contract is increasing, and therefore the new contract values is also increasing. And that is the trend and that is to last for some time. And also, on interest rate shift impact -- and we do have hedging, so there -- we don't expect any significant impact. And even if there may be some impact, it will be very slight, but depending on how the interest rate shift, we need to look at the different spreads. And also, in particular the bank spread certainly will be affected, so in that sense, we would like to -- we will be increasing the profitability through that. And IFRS 17, in regards to this accounting system change, there will be another occasion for us to explain in more details about the IFRS, so please wait for that occasion. 
Unknown Executive: We would like to move on to the next question. Anybody? Next, online, participating online, Mizuho Securities' Nakane-san. 
Yasuo Nakane: Nakane from Mizuho Securities. Congratulation for the good results. Now I have a question regarding game. Recently, U.S., Europe and China macro trend is different. In December -- December results and the forecast for March and the forecast for next fiscal year and onwards -- business environment, hardware and software network. By region, what difference in trend is observed? Or no difference. Can you give me some hint? That's my question. 
Unknown Executive: Thank you very much for your question. Game and network, globally, the deceleration of the economy, there is a difference by regions, but how does that impact our business? At this point in time, by regions, there is no significant difference. That's my recognition. Having said that, however, PS5's share compared to peers, in Europe as compared to the United States, it is high -- our position is higher, so we are maintaining a high position -- in the United States also. In summer, there was some narrowing of the gap, but more recently our share has expanded significantly, so impact -- there is not much impact of the macro economy. Having said that, however, this is something dynamic, so we have to watch carefully the situation from the fourth quarter onwards. 
Unknown Executive: And online participant and -- Ayada-san of JPMorgan Security. 
Junya Ayada: My name is Ayada of JPMorgan. And I&SS, I have a question. And based on your documents and -- for the Q3 sales and the North American, the smartphone -- the production was the constraint. And as for the Q4, wafer input -- and that's almost on the same level of the previous fiscal year, but as for -- the capacity seems to be rather smaller compared to the previous year's figures. So that might be decreasing factors over your productions, and so what is your perspectives for the North American market and production situations? 
Unknown Executive: Thank you very much. For the first part of the questions, for the -- based on the customers' production, the changes -- and we had quite a minor impact. And as for Q4 and -- we have yet to identify the exact cause, so we need to continue to monitor what's going on. As for capacity and wafer input and -- actually, until Q4, 90% is for the operating, the utilization rate. That's for image sensor productions related, the changes, and based -- specifically for industrial use in the Kumamoto plant. And -- but as for the others, we are going to maintain the full-fledged productions. And the Q4 capacity, it seems to be dropping but because of the plant and the maintenance and the inspection. 
Unknown Executive: And time is running out, so we would like to take one last question. And from SMBC Securities, Mr. Katsura. 
Ryosuke Katsura: I am Katsura. And congratulations, Mr. Totoki. Now I have one question about the market landscape and how you interpret the market situation. It's dynamic. And your competitors and other peers say that it's tougher than 3 months ago, and your semiconductor business is doing quite well. And based on this, towards next year, what is your plan? And also, ET&S, I believe that the forecast is quite tough. And I believe that you would like to take some measures or countermeasures, and so I would like you to explain to us what you will do. 
Hiroki Totoki: Thank you for the question. And overall economic landscape, I think that's the question. I believe, last year, end -- in comparison to end of last year, in particular European, U.S. economy, there's an optimistic view that they may be making a soft landing. And IMF forecast has been revised in upward manner. And also the equity market, the financial market is -- the momentum may be recovering in advance to the overall market recovery. And so the -- generally that may be the tendency, but when it comes to the real economy from the finance market, always come -- the changes comes in delay. So the first -- the fourth quarter and also the early next fiscal year, the real economy and also the consumption trend, we need to be cautious to be prepared for any shift. And as far as our business is concerned, currently the smartphone and low end and mid-end are going down. And the TVs demand is weak. And I mentioned that -- I can't say that. And this is something that was foreseeable to a certain extent, so as far as we are concerned, we think we are prepared, but from the fourth quarter to the first part of next fiscal year, we are going to do the right risk control. And so we'll be prepared for the next phase and the next momentum so we will not be left behind when the next momentum increases. And that is the overall view at this point in time. 
Unknown Executive: Now it is time, so we would like to conclude the Q&A session for the investors and analysts. Now we would like to start the
 [Audio Gap]
 Now we would like to move on to entertaining questions from the media. Those of you who have any question in the hall, please raise your hand. [Operator Instructions] In this hall, a microphone will be brought to you if you raise your hand. [Operator Instructions] Now in the middle, fourth row. 
Unknown Attendee: [indiscernible] [ Yamazaki ] is my name. Not directly related to earnings announcement; about semiconductor business, I have a question. In Kumamoto -- you are considering building a new plant in Kumamoto. What is the current situation of considering the plant in Kumamoto? 
Unknown Executive: Thank you for your question. It's not something that we have made an announcement of, so this is based upon speculation. And I would like to refrain from making -- responding to the questions, but generally speaking, image sensor market's growth in the mid- to long term -- and based upon that, consideration for expanding the production capacity is always considered. Not limited to a specific location, but widely, we are considering that. And if there is anything that is decided, then we would like to inform you immediately. 
Unknown Executive: So in the center, 2 rows from the front and the second from the left. 
Unknown Attendee: My name is [ Tsutsumi ] of Nihon Keizai Shimbun. And one question and as for entertainment, Music and Pictures. And what is your strength as the conglomerate and centering around the entertainment business? And the macroeconomic situation has been rather improving, and that should be a driving force for you to maintain the good business performance for the next fiscal year [ and you will ]. You are expecting further more solidifications of the user bases, so what is your strength in that environment? How you can take the leverage of your corporate strength for that environment for the entertainment, related to being a conglomerate. And we may have -- you may have a conglomerate discount and that might be negative factors for you. And if there is any discounting factors, how are you going to minimize those factors? And how you should address to those the elements. 
Hiroki Totoki: Thank you for your questions. And as to the strength being a conglomerate, we have the diversified businesses, and probably that they are not so closely related, so -- and all of the sectors do not go along at the same time, so -- and that should be one of the strengths for us to have multiple businesses. That's the same concept of the portfolio management. As for conglomerate discount, there should be -- many people are saying different things. And as I talked in the presentations, as for the entertainment, 3 businesses, we have the transmedia. And we have a quite strong synergy effect between the different business areas and that's almost visible in the financial figures. And we can expect some good circulation and the benign cycles of -- for the bottom-up, the effects, so that should be another strength of ours. And in addition to that and -- we have the technologies. Sony is a technology company. That's one of our uniquenesses, and how we can take the leverage of those technologies to entertainment business. The metaverse should be one of the topics that's represented by the metaverse, so that's our activities. For the new, the digital experience and entertainment, that should be a -- core factors of our future business. 
Unknown Executive: Okay, please raise your hand if you have a question. In the middle, second row from the front. 
Unknown Attendee: [ Nishida ]. I'm freelance journalist. About the inventory level at the moment for the game, the -- and the electronics point of view. And so when we think about the market, I believe you may have to be conservative in planning on the inventory level, so how are we to analyze the -- your inventory level from the perspective? And for the gaming, you have a high level of inventory, and we judge that it can be mobilized. And so what is your view on the inventory? 
Unknown Executive: Thank you for the question. So I would like to share, add some information, a statement about the inventory level. And for the game  and network service, for this third quarter, the sales -- production sales is increasing. That is why it is the inventory is building up significantly. And even if there's the sales and the demand, for a long time, we were not able to deliver products smoothly, so we therefore increased the production capacity significantly and produced the products. And we are in the middle of delivering these products. And in regards to the game and the entertainment service, we are not worried about the inventory level actually. And inventory level, when we think about the sales momentum and also the PS4 -- so now  -- and seasonality. Now that it's in the fourth year -- in the past, with simulation, the inventory itself may increase in the monetary value, but in comparison to the PS4, the product unit price is much higher. And at PS4, we decreased the price in the fourth year. And so it -- so the monetary value seems to be higher than what actually is. 
Hiroki Totoki: And when it comes to ETS, in the previous briefing, I mentioned that the inventory level at the end of the second quarter was rather high. And we worked on the reduction of the inventory. We managed to achieve a goal to a certain extent. We are still working on it, but it is, however, slightly higher than what we think is an appropriate level, so into this quarter, we would like to reduce the inventory. And for I&SS, the CapEx optimization and also maximizing the business scale -- and for that matter, we have taken a policy to have a high level of inventory as part of the investment. And for that, the CapEx timing can be delayed. 
Unknown Executive: [Operator Instructions] Next, participating online, [ Takenaka-san ] from Reuters. 
Unknown Attendee: [ Takenaka ] from Reuters. Game segment. Totoki-san, early, made a comment. I would like to confirm. This fiscal year, PS5's sales target is 19 million. You have increased to 19 million. 
Unknown Executive: Yes, it is 19 million units. It was 18 million; and we raised it, 19 million, 18.5 million. We say 18 million and it is 19 million, so we have raised the target. 
Unknown Executive: And the time is running short and we'd like to entertain one last question. And on this row, on the right and the fifth from the front. 
Unknown Attendee: My name is [ Imaida, of Diamond ]. And Totoki-san talked about high image sensor business, and you are going to enhance the production capacity. And will it be for the other applications than mobile products? 
Unknown Executive: Thank you for your questions. That includes the other products than mobiles, but mobile image sensor products are the driving force for the most of the growth. But we have some other segments as well. 
Unknown Executive: So this is time for us to adjourn the session. This concludes the -- today's -- the consolidated financial result announcement...
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]